Operator: Good morning, and welcome to the EVINE Live’s Fiscal 2014 Fourth Quarter Conference Call. Following today's presentation, there will be a question-and-answer session. Today's call is being recorded for instant replay. I would now like to turn the call over to Teresa Dery, Senior Vice President and General Counsel. Please proceed.
Teresa J. Dery: Thank you, Whitley. I'm joined today by CEO, Mark Bozek, and CFO, Bill McGrath. Comments on today's conference call may contain certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements may be identified by words such as anticipate, believe, estimate, expect, intend, predict, hope, should, plan, or similar expressions. Listeners are cautioned that these forward-looking statements may involve risks and uncertainties that could significantly affect actual results from those expressed in any such statements. More detailed information about these risks and uncertainties and related cautionary statements is contained in EVINE Live’s SEC filings. Comments on today's call may also refer to adjusted EBITDA and adjusted net income or loss, which are both non-GAAP financial measures. For reconciliations of each of these measures to our GAAP results and for a description of why we use them, please refer to today’s news release available on the Investor Relations section of our website. I’d like to remind you that all information in this conference call is as of today and the Company undertakes no obligation to update these statements. I will now turn the call over to Mark.
Mark C. Bozek: Good morning, everyone. Thank you for joining us to discuss our fiscal fourth quarter and year end results. I also plan to provide an overview on the new initiatives we have embarked on since I started two quarters ago along with the progress we’ve made in the first few months of this year. We ended fiscal 2014 on a strong note with adjusted EBITDA of $22.8 million, a growth rate of 26% year-over-year and an adjusted EBITDA margin improvement of 60 basis points to 3.4%. We have a solid liquidity position that includes availability on our recently expanded credit facility. As a digital commerce retailer, the key to leveraging all of our platforms is engagement with our customers wherever they are, and we are benefiting from that broad reach of our multiple digital platforms. In the fourth quarter, our television platform was available in 88 million households, while 46.1% of our sales were made online. Even more noteworthy is that mobile is our fastest growing platform with $32 million in mobile sales during the quarter. This represented a 24% year-over-year growth rate to a record 34.4% of online sales. Our efforts to broaden our product assortment are being well received by our customers. Our rolling 12-month active customer account rose 7% to $1.4 million. In the fourth quarter, net shipped units rose 23% to $2.9 million and average purchase frequency was 4.3 times in the quarter, up 17% year-over-year. These were all new heights for our company, and it is good to see during this initial period of transition that we are successfully injecting some well needed life into the business in ways that are directly quantifiable, and this is only the beginning. In two short quarters, we have accomplished a lot. I said to our team on day one that the first two things we’re going to do was to create a relevancy for the people who work here and for the people who make our product, and that’s exactly what we are doing. You need only to have been here this past weekend when we launched the Titan collection by Todd English to steeper yourself just how that relevancy thing is working. Over 5,000 new customers shopped with EVINE last weekend. Judging by the amount of testimonial calls we had, I would bet that a good number of them used to shop on another network. Step-by-step, product-by-product, we have begun the process to build the proprietary broader assortment we have talked so much about. However, this is not a sprint, it doesn’t have to be in order for us to win. We came here to create long-term sustainable growth and we have just begun that. What’s abundantly clear is that the quantity and the quality of talented product makers and personalities who want to create brands for us have increased dramatically. We are now, I believe, viewed as a far more relevant alternative channel in which to launch new brands. This broader mix should begin to enable our strong existing brands that we have for so long heavily relied on to grow in a much healthier manner. The very first new EVINE Live brand we launched, the Deadliest Catch collection has been a real success story. The best frozen crab on the planet and you can only buy them from EVINE Live that was in December. Since then we have completely rebranded the company at half the time we had said we would . We have rung the bell at NASDAQ in New York City with members of our team joining us in person at Times Square at our studios in Minneapolis and from our newly expanded distribution facility in Bowling Green, Kentucky. During our live broadcast from The Plaza in New York over valentines’ weekend, we return to broadcasting live 24/7 in line with our previously stated goal and it’s working. At The Plaza, we introduced an array of new exclusive brands including the Lisa Vanderpump, Jewelry Estate Collection, FrescoWare by Scotto, Peace & Love Jewelry by Nancy Davis, and our own private label conception line DEVINE Treats. These launches complemented the rollout of new product offerings from some of our customers’ favorite brands such as Waterford and Skinn Cosmetics. The efforts of Russell Nuce, who joined as Chief Strategy Officer in November along with our merchants, have already begun to add real value. These efforts include strategic partnerships and exclusive launches of nine notable proprietary brands in just the last three months. Next up is the launch of Paula Deen next week on March 25, and we are thrilled to welcome Paul and her fans or many fans to the EVINE Live family. Obviously, our goal with all these new product launches will be to drive long-term sustainable growth in sales and enhance our profitability and margins. As Vice President of Digital, Wade Gerten who started at January, is focused on leading our digital initiatives on all platforms including TV, online, mobile, and social. We are benefiting from Wade’s extensive experience in the retail technology sector to enhance the breadth and functionality of our digital effort. By working with our new proprietary brands to tack into their extensive fan base, EVINE Live appeared on the Facebook homepage of over one million users during Valentines’ weekend. Please mark your calendars for our first EVINE Live Investor Day on Thursday May 28, at our studios in Minneapolis. We are very excited to share with among persons some of the many things we have in the Arsenal and introducing you to a few of our new brands and personalities. While our company benefits from a 25-year history, the energy among our team is fresh and rejuvenated. I look forward to introducing you to everyone on 28. Finally the transition at EVINE Live is underway and I believe it is wise to set expectations cautiously, but also optimistically. As we move forward, we will continue our scrappy and nimble approach in all areas of the business including with a very keen eye on costs as well as with a focus on all things digital. These last two quarters have been incredibly busy, productive, and rewarding. I strongly believe that our sector of retail that includes TV, mobile, and online continues to grow at a faster rate than the bricks and mortar world, and the strictly online only players who display high valuations are challenged to show actual profits. We are committed to driving long-term sustainable top line growth efficiently and effectively leveraging our infrastructure and customer reach. With that I would like to turn the call over to Bill to review our financial results after which we’ll both be available to take your questions. Thank you. Bill.
William J. McGrath: Thanks Mark. Fourth quarter sales of $201 million were up 4% over prior year. Sales growth in fashion and accessories, home and watches were offsetting the anticipated reduction in the sales of Consumer Electronics. In the prior year, Consumer Electronics comprised 25% of the sales mix and this year it was 16% of sales mix. Net shipped units in the quarter increased 23% versus last year as our average selling price declined to $63 from $74, principally influenced by the mix of sales in our fashion, beauty, and home categories. Mark described several of the exciting proprietary brand launches which are occurring in the current quarter. We’re excited with the potential of these brands as well as others in the pipeline and our strategy of developing the proprietary brand portfolio is key to driving long-term sustainable growth. In the near-term these launches require investment in airtime as we iterate and develop these categories to their full potential. Given this context, we wanted to share that for the next two fiscal quarters we anticipate aggregate revenue growth will be in the range of 3% to 7% over the comparable prior year periods. Gross profit dollars increased 6% to $66 million and our gross margin percentage of 32.6% was an increase of 50 basis points to last year. The improved gross margin reflects the favorable impact of the mix shift away from consumer electronics, partially offset by increased shipping and handling promotions within the quarter. Fourth quarter operating expenses totaled $62 million compared to $63 million last year. Excluding unusual items in each year, operating expenses were roughly flat to prior year. Operating expenses were affected by an increase in variable costs of $1.8 million, variable cost as a percentage of sales were 8.5% versus 8% last year reflecting the impact of the 23% increase in net shipped units. We anticipate that fiscal 2014 variable expenses as a percentage of sales will be between 8.5% and 9%, likely trending lower towards year end as we realize the benefits of the Bowling Green, Kentucky warehouse expansion. The increase in variable expenses were partially offset by lower salaries and lower costs and related costs as well as lower depreciation and amortization. Adjusted EBITDA in Q4 totaled $7 million versus $5 million in Q4 last year. Net income from the quarter totaled $3 million, $5 million increase over last year. Turning to the balance sheet, we ended the quarter with cash and restricted cash of $22 million compared to $26 million at the end of Q3. Net use of cash in the fourth quarter is primarily working capital related, reflecting executive severance payments which were accrued during the third quarter as well as fourth quarter payments for inventory receipts. On March 6, we increased our credit facility with P&C to a total size of $90 million from $75 million, this $15 million expansion improves our liquidity and provides support for working capital requirements as our business continues to grow. With that, operator let’s open the line to questions.
Operator: [Operator Instructions] Our first question comes from the line of Neely Tamminga with Piper Jaffray. Please proceed.
Neely Tamminga: Congratulations in all the very tangible progress going on at the company right now. So question for you on -- just two primary questions, so clearly the rebranding event occurred in Q1, and so we’re just trying to gauge you mentioned just over the last weekend you saw 5,000 new customers. Can you give a sense for us contextually to maybe what you are seeing in terms of new customers or reactivated lapsed customers coming back to the brand on Q1-to-date type trends? And then I have a follow-up housekeeping question on the guidance?
William J. McGrath: An aggregate nearly new names quarter to date are running in the high-single-digits as a growth rate.
Neely Tamminga: Okay.
Mark C. Bozek: And other way Neely, this is Mark. I think that in Q1 the rebranding really in terms of the customer just began Valentine’s weekend, we made the announcement to change the company name back in November and ticker et cetera. But the real customer facing rebranding on all of our platforms began in February 2014. And so it’s really – it shows us early signs of that, and it’s like this weekend as I mentioned earlier without English you can begin to see that in my opinion it’s always the next easiest customer for us to get first are ones who have either shopped with us already or who shopped at our direct competitors, and we could clearly see by the amount of new names and as I said the amount of calls that we had that we’re doing that, we are starting to attract those kinds of sticky customers that are not necessarily just one and done customers that we would normally have had would it have been consumer electronics.
Neely Tamminga: And that’s what we are seeing in the frequency even in Q4 Mark having picked up, is that another way to kind of read some of those metrics from your advantage point, the frequency?
Mark C. Bozek: Yes, I think from an early perspective, I mean given in Q4 was really just the Deadliest Catch and Pamela McCoy Collection that were the first two EVINE Live brands that we launched, it was more - it began there I believe. I mean, the notion that we can sell crab from the Bering Sea for $160 and have 30% of that be on order delivery is really quite amazing. And so, it’s those kinds of trends that we see and ideally the breadth of this broader assortment that enable you to grow more potent if you will our new customers than in the past.
William J. McGrath: And I’d say nearly the growth in the purchase frequency that you saw in Q4 and over the full fiscal 2014 reflected a very positive influence from the growth in the apparel and the beauty classifications, which in themselves have a high replenishment freight in terms of purchase frequency that occurs. What we hope to have happened especially as we look at brands of products that we really haven’t had a significant presence in before such as food as Mark has mentioned, illustrated by Deadliest Catch or the cookware brands that we look to offer, they are well above average in terms of the home classifications in terms of creating purchase frequency. And so, we are hoping that that is a continued wind in the sales in terms of addressing that. That’s a very, very important metric for us.
Mark C. Bozek: And what’s also encouraging in all this is that - as we said from the beginning in any of these businesses, you have to create this variety, otherwise you tend to play your same shows, in our case the same products over and over again, and there is a tendency when you do that, that those brands can suffer a bit. And I think as you know we have some pretty powerful brands four, five that are pretty substantial that we want to make sure we continue to grow those, we think and we strongly believe we can make those businesses even healthier because the broader mix and assortment that we are going to have in the food category soon in the ingestible category more to come in the skin care category and a whole lot of others that are in the pipeline that offer that variety. That variety is really what’s going to help us grow and keep and enable to sustain growth by having and attracting new customer that stick with you, right, that are not as I said a minute ago that will just come in and go out.
Neely Tamminga: Yes, that’s a very exciting stuff going on here. In terms of - as we think about the financial model and trends leading us into the commentary you made around looking for a 3% to 7% increase in revenue growth and the aggregate Q1, Q2. I mean at a very top line level, last year Q1 and Q2 actually grew at comparable levels, you know on a one and a two-year basis, it’s just something about this mid-quarter relaunch that puts maybe Q1 closer to the three side and Q2 closer to the seven side in terms of how we should be modeling this on a revenue growth?
William J. McGrath: Yes, I think that directionally it’s a fairway to look at it, we have - as we made these investments in air time, they are not only absolute minutes that are invested, but there are also prime minutes in there, they are minutes that acquire a lot of promotional emphasis, and of course that creates some displacement from other categories. And so, I think the impact of that and the resultant guidance on sales is more skewed towards Q1, and then the higher end of the range are more skewed towards Q2.
Neely Tamminga: That’s great. Thanks, good luck out there.
William J. McGrath: Thank you, Neely.
Mark C. Bozek: Thanks, Neely.
Operator: Your next question comes from the line of Tom Forte with Brean. Please proceed.
Thomas Forte: Great, thank you and congrats on the successful launch of EVINE Live. Can you talk a little about unit sales trends and average selling price, and are we at a point now in the adjustment of the mix where you will start to see, I guess, smaller numbers there as far as versus I guess big changes in average selling price in unit sold?
William J. McGrath: Yes, I think as it relates to the average selling price as everyone knows, we’ve dramatically reduced our selling price in the last three or four years from 200 now down into 60, but I think for us because they are so much opportunistic discovery and all the new brands and categories that we are launching that to say that we’ve hit the bottom or it’s going to trend back up, we certainly like to talk in the range of anywhere from $60 to $75, because I think as these new launches come out, some of them take, some of them don’t take, and I think we’ve to kind of find that balance or rather than quantifying it into number of just 60 to 65, I think the range of 60 to 75 in terms of the ASPs where we are comfortable going forward into these next few quarters.
Mark C. Bozek: Hope we don’t see any acceleration in the decline, it sounds like I think we are probably near the low point that we would expect in terms of average selling price.
Thomas Forte: Great. And then as far as the timing of the addition of proprietary products, is this something where we should expect it to be 10 percentage points a year, so if the starting point today is give or take 25%, should we expect you to be at 50% in two years, how should we think about the timing of adding the proprietary products?
William J. McGrath: I actually think that’s a pretty fair percentage that you just gave Tom. I think 50% within the next 18 months or two years, I think is likely where not only we want to be, frankly we have to be there. I think because I know it works and I have done it before and I have seen where if you build these proprietary brands they don’t all get built in a week and some of them are more popular from the beginning than others, but I think that’s 50% within the next 18 months to two years is the right way to do this. As I said, its not a sprint and I think sprint cause existing customers to run away as it has been evidenced by some of the retailers that have tried to pivots too rapidly and I think we’ve done it so far in just right amount of cadence, in terms of making sure our existing customers come with us, they clearly have and that we are now beginning to add new customers that have never shopped with us before.
Thomas Forte: Great. So last question, as you have had these new brands so think of Deadliest Catch and then Paula Deen coming up and Todd English, would you say that versus what you were doing before that they have a greater propensity for digital sales both e-commerce and mobile commerce?
William J. McGrath: During before meaning what I used to do before?
Thomas Forte: No versus I guess the legacy products you were selling, would you say that part of the EVINE Live strategy should suggest that not only will you have sustainable growth, but you will have greater digital penetration for the new brands you are launching.
William J. McGrath: You bet, you are absolutely correct. I mean that is part and partial of a big part of our strategy. I think the opportunity to - we refer to them and have from the beginning as these brands expand and they have spanned and we have a really growing smart team led by Wade Gerten on the digital side of things that we have some very clever ways that we are experimenting with in terms of creating business that doesn’t come digitally just by what we’ve had on television that day which as you all know or as many of you know. A lot of the business that happens digitally happens to be on television in the last 24 hours. We believe there are real opportunities because of the Deadliest Catch, Paula Deen has 4.5 million fans on Facebook. There is all kinds of very smart clever social ways, its not just about a like on Facebook, but we think there are some clever ways that you can translate them into more than a like, but a love, because they are actually going to be buying products from us. So to answer your question 100%, 1000% for sure that we think the opportunities digitally, because they have existing fan bases, will enable us to do this in a really robust way.
Thomas Forte: Great. Thanks again and congrats on the relaunch.
Mark C. Bozek: Thank you Tom.
William J. McGrath: Thanks very much Tom.
Operator: Your next question comes from the line of Alex Fuhrman with Craig-Hallum Group. Please proceed.
Alex Fuhrman: Hey thanks guys, and I'm really looking forward to that Investor Day in May, I think that will be a big hit and gets the right time to be doing something like that. I wanted to talk a little bit about your television footprint, right now you know I think Mark when you joined the company back in June that the mantra at that time was that your cable and satellite these are kind of creeping their way higher towards a $1.15 per home as you reinvested into some better channels and looks like it’s kind of stayed at that $1.13 levels. So kind of trying to think about that and the guidance for the next couple of quarters are you sort of waiting until you really start to see a little bit more of a lift after you repositioned your brands to then start to invest in more homes and better channel placement or is that maybe more we should be thinking about kind of that $1.13 staying more or less where it is for the foreseeable future.
William J. McGrath: Thanks Alex. We did landed about $1.13 per home for the fourth quarter. We had a relatively small volume of movement about 300,000 homes in the New York area that we have changed channel position and that slightly affected the cost. But you are right in terms of the - that the first focus and the level of investment is going to be on the development of brands and the overall improvements in the product portfolio. And frankly that puts us in the better position to evaluate ROI on the distribution investments as we move forward, because we think that the contribution margin will garner out of improvement in channel position as a higher potential than it would with the current mix. So as I look out over the course of this year I think we’ll - at the high end potentially in terms of systems that might move I think we may end the year at around $1.15 but certainly in the early part of the first two quarters I think will be in that same $1.13 range.
Mark C. Bozek: Also Alex this is Mark I think that we are going to react opportunistically here I think we have to because obviously you don’t want to build the Church for Easter Sunday in a way and have great lower channel position and still offer not as much robustness in your assortment. And so my theory is our theory is it’s, if you build it, they will come and then before we invest to Bill’s point on this $1.13 before we invest that way we want to make sure that when we do that when you get into those lower more competitive channel positions that what’s your offering is something that’s worth it right and that’s something going to help increase your sales by being in that lower channel position.
Alex Fuhrman: Great that’s really helpful and then Mark I just had a quick follow up on something you mentioned in your prepared remarks about you know a lot of the people and certainly we can see it on the message board if you are watching the television or clearly a lot of people who shop on the major television shopping networks are there certain brands that you’ve launched that tend to bring in that seasons TV shopping customer, is it more the personalities that have the affiliations with those other networks or would be it also some of the more I mean they are all exclusive to you but you know also some of the more kind of private label things like DEVINE Treats are those bringing in that Q&A chopper as well or is it more like the Todd English, Paula Deen type brand?
Mark C. Bozek: Well, it’s a little early, but the last two names that you just mentioned obviously are one of them used to be where I use to work, and so you could clearly sort of see that popularity of Todd English that he has had and with customers in our space, not just us, but within our space is something that tends to at least so for have been probably more popular and more successful out of the gate, although the Deadliest Catch certainly doesn’t fit any of those categories and that has driven both new names and core customers quite robustly. Paula Deen will find out next week, but certainly I think we are not doing this just to have launch a bunch of brands that used to be on HSN and QVC, that’s certainly not the goal here, but there are some just like the television business where we’re moving from one place to the other if you can rebuild them and I believe as I’ve said in my remarks that we are now a far more competitive alternative to those places. And we are because I think we reset the tone of the launching pad for these new brands versus perhaps to us, basically how many can sell anywhere else. And I think that’s the big difference and still a lot for us to prove here right, but the amount of people as I said coming through the door that are talking to us about launching all these different things in really clever ways beyond just how many dollars per minute or how much airtime they are going to get in a 168 hours a week of our programming is a lot and I think that if the early signs are good I believe it, I know it from the past that those are pretty easy customers to get and boy it’s really easy to get to socially these days in social networking to communicate what you are doing. Because as I said on the Todd call, the Todd testimonial calls, where are you? We miss you I mean you hear all those kinds of things, its okay, well maybe there is something that we are doing right here and that’s not going to happen every time, it’s just happened to happen this past weekend really well.
Alex Fuhrman: Great. Well, thanks a lot Mark and I look forward to seeing what you guys come up with Paula Deen next week.
Mark C. Bozek: Great. Thank you, Alex.
Operator: Your next question comes from the line of Greg McKinley with Dougherty. Please proceed.
Gregory J. McKinley: Yes, thank you. So guys you provided some color on the Titan collection for example, and talked about some of the other brands you’ve recently launched are you able or will you or can you provide any additional metrics around how you might have measured the results of those initial launches or prepared to do that at this point?
Mark C. Bozek: I don’t think we are really prepared to do I mean in a metric sort of way Greg. I think that a strategy is one thing opportunistic or opportunities is sort of another way of looking at and so because we came out that weekend and we launched eight or nine brands in one weekend, right that’s eight or nine more brands that have been launched here in four years in a weekend. And so we don’t - what we’re trying to do and like we did with Todd you are sort of measuring it in terms of how much airtime they get, what’s happening digitally, but you want and often in this business you can have great strategic plans and you can plan out whose got X amount of fans and where are they coming from and they can go on the air and they don’t do any business. And then you can have things like BoKU Superfoods, which was a brand that we’ve launched on valentines weekend that get $40,000 at 3 O'clock in the morning with no promotion with no previous airtime and if there is great new brand now that we discovered out of nowhere and it’s those kinds that the mix of those kinds surprises, nobody has ever heard of this brand before, but you go on presented in a very compelling kind of way and you have that mixed with people like no more notable brands like Todd English and it’s a good thing. But measuring them this early on particularly since its - we are six weeks out from valentines actually a month out from valentines day a little bit soon that. The only measure that I think is relevant right now is the quantity and the quality of them and if you could start to see that how many we are launching and like television pilots right they don’t know how it works, but some of then are starting to work in a really good way then you start to in think once we get out beyond that we’ll have more ability to measure them with the right kind of metrics that you are ready to apply to how you look at our business.
Gregory J. McKinley: So how should we think about or what would be I don’t know if there is a normal in that sense, but when would some of these brands you’ve already done with Deadliest Catch, when would some of these brands get an additional airtime to come back and is that a way we might be able to get a [slims] and how you are thinking about it?
Mark C. Bozek: It’s very much like the television business again, so if you get a 13 episode order from the networks and you know you’re doing pretty good if you get like a two then you are not getting such a good support, but the Deadliest Catch has been on three times since December, so that’s a good time we had a show two weeks ago, the Captain Sig was stuck on a boat and he could make to where and our team didn’t want to put him on the ice, nope we’re doing the show anyways, he called in from the boat on his cellphone and we killed it. And we did it was great live interactivity and that sort of thing really kind of works. Todd English was here last month, he is going to be here again next month. BoKU Foods that I mentioned earlier they are going to be here in a couple of weeks. So DEVINE Treats has already been on several times, Lisa Vanderpump is coming back in June some of them again depending on the category Greg, if it is a parallel obviously it’s longer sort of runway to get them launched, but in some of these other categories particularly the food and cookware it really you can have shorter sort of lead times and again some of them that were going to do are not that didn’t necessarily shows out of the park on Valentines weekend or some that we’ve launched subsequently. I believe and I have seen it, I have done it. Where they weren’t so great in the beginning, but if you stick with it and you can make that connectivity particularly now in connectivity that’s not just through a television screen, but on your phone and on your tablet and online that I think there is exciting new disruptive opportunities for us to reach him and her in ways that are not being done yet.
Gregory J. McKinley: Okay, thank you and then some metrics that you have provided in the past retained customers, I think there was a metric you have given us in the last couple of years. What was it for 2014, do you have that handy?
William J. McGrath: Yes Greg, the total customer count which we mentioned, I think Mark referenced in the call of [million 447], which is up about 7%, retained customers were about 760,000 customers and that number is up about 10% and that correlated to another metric, our couple of other metrics that we had referenced one being the purchase frequencies, so to the degree that you are able to attract customers into categories that have a higher rate of repurchase than the natural ones that one would anticipate our beauty and in fashion. But similarly in the home and the food categories there is a higher level of stickiness and repurchase rates that customers become comfortable with those brands that can help to drive that retained customer number higher and that’s very important, because that’s obviously the value, but the existing customer overtime has an annuity aspect to it and its certainly much more valuable to retain an existing customer than to pursue a new customer which has a relatively high follow-up rate.
Gregory J. McKinley: Thank you and then I guess the last couple of questions I had Mark you went to 24 hour live content, is there a way to sort of talk about how those extra couple hours of live can impact the business versus repeating tape to content and what are your updated thoughts on investments in HD and in anything else like that or is that to be determined when you feel like I guess your cable fees, when you feel like you have developed a more robust product offering.
Mark C. Bozek: I think you know as it relates to HD and our plans on that I think we still have to be at some point make the investment to broadcast and change our technology over to HD. However, there were very few people who watched us this past weekend or who watched us from the plaza, who have watched some other things that we’ve done, said wow that would have been better in HD. Right and I think when you start shooting things from cellphones and different ways that we’ve done some of the things in the past it doesn’t become as much of an issue as perhaps it was from the beginning. As it relates to the – and again it’s we’re not taking it off the table, but live and creating live fun interactive television doesn’t necessarily have to be the perfectly list thing it just has to be live. As it relates to the overnight, our company is called EVINE Live not EVINE Live part time. And so I think going to Live with something when we first got here that we felt that we have to do, we have to do it smartly and cost effectively. So we didn’t just go back live and start loosing money but it has been profitable the ROI has been profitable to date its been up about 17% early on in the month of February than it was when we are on tape. As I mentioned earlier we launched BoKU Foods at 3 O'clock in the morning and it did like $40,000 in sales and so that did more than what would have been likely had we have been on tape. And also again there is a lot of customers who shop during those times and there were a lot of people that were really upset who didn’t like that we are on tape, and they would post and write and call rather relentlessly and they are not doing that anymore and again in addition to that. So I think to answer the question its been a good move to go overnight it’s now an opportunity where we’re going to test and try other things and not necessarily just with product but ways to present our platforms in really unique kind of ways because the bar is much lower there - there is much less people watching. And so I think that kind of experimentation and that sort of disruption will enable us to do that. It also helps us to clearly choose some inventory that’s cleaner than we would if we’re just running on tape repeats.
Gregory J. McKinley: Yes, and what is that block of time, what hours is that went from tape for Live.
Mark C. Bozek: So from 1 A.M. Eastern to 7 A.M. Eastern, yes it was six hours…
Gregory J. McKinley: Thank you.
Mark C. Bozek: Thank you Greg.
William J. McGrath: Thank you Greg.
Operator: [Operator Instructions] Your next question comes from the line of Mark Argento with Lake Street Capital Markets. Please proceed.
Mark N. Argento: Yes, good morning guys.
Mark C. Bozek: Hi, Mark.
William J. McGrath: Hi, Mark.
Mark N. Argento: First question just kind of more housekeeping just wanted to review the guidance you talked about 3% to 7% top line and then distribution cost turn in that 8.5% to 9% I think there was a couple of other things that you might have mentioned as well. Can you just touch on guidance for modeling purposes anything else that you guys that we should be aware as we are thinking about the year and the progression?
William J. McGrath: Yes, certainly Mark as you mentioned the top line guidance over the first two quarter we see that 3% to 7% range first quarter being closure to the lower end of that range. The variable expenses as a percentage of sales over the course of the year will move somewhere in the range of 8.5% to 9% to refresh on variable cost for us what that represents is the cost of credit card fees, bad debt expense, and the cost of taking and processing a customer order to our distribution center in Bowling Green. As we get to the fourth quarter, we expect that rate will decline as we start to realize the benefits one of having our full operations consolidated under that roof in Bowling Green and also the implementation of Manhattan Associates Warehouse Management System that we think will give us some operational benefits and we’ll be able to achieve some outbound freight benefits as well relative to combining packages more readily than we have in the current distributed platform. Distribution cost becomes another component within selling and distribution expense and we mention the - the guidance on that is that our rate will be somewhere between a $1.13 and a $1.15 per home. And that we’d see the household footprint growing at a pretty small rate somewhere at 1% to 2% maybe over the course of the year. And then finally you have within our operating expenses, all other operating costs which were relatively fixed including our broadcasting teams, our merchandizing teams, our digital commerce teams as well as our corporate group and we see that pool of cost increasing in the range of 3% to 4% over the course of the year.
Mark N. Argento: Okay, that’s a helpful recap and when you think about incremental margins, obviously you have the distribution, you have the studios and all the infrastructure. So the incremental margins on your business have to be fairly substantial. Could you just - how do you think about incremental margin on another dollar revenue internally? What kind of percent do you think about it as?
Mark C. Bozek: Yes, that’s a good question Mark. If you take the two components of - we’ll call it variable margin on an incremental dollar sales one would be the margin rate on the gross profit, for us historically is run, again it’s a function of mix and activity within the quarter, but we’ve run between 36% and 38% at that range. And then the variable cost structure and if we use a round number of 9% that I was describing earlier then that puts you in a contribution margin level of say 28% round numbers as contribution margin out of each incremental dollar of sales. And within a range that essentially should flow through to EBITDA, you do get to - you get some incremental fixed cost if the nature of those incremental sales are function of adding new product lines and having to add expertise sort of perhaps an additional emphasis on digital that requires acquisition of different skill sets, but there is rough rule of thumb that contribution margin flow through using the current distribution platform and the current corporate structure is about again the high-end contribution margin about 28% of sales.
Mark N. Argento: Okay that’s – that is hopeful and then just pivoting back to the brands I know Mark you had mentioned that you guys launched eight or nine brands in one weekend, when you think about kind of when you layout the roadmap for the rest of this year is that 20 brands that you launch 25 brands, maybe from a high level how do you think about the brand and product roadmap and better feel for cadence going through the rest of this year?
Mark C. Bozek: Yes, I really don’t want to say a specific number I think if we look at cadence, what we look at now six weeks or so or maybe when you go back to December with the Deadliest Catch, you really look at not only the new launches, but you look at the one that you’ve already launched that then begin to become your new anchors if you will like the Deadliest Catch and like Todd English and you start to kind of build out that sort of depth and breadth as we go, but without giving a specific number because these are all very fluid discussions that are in the pipeline, but there is a lot of them. And I think there is some really clever robust once that particularly in the adjustable side of things that we have a lot of enthusiasm and excitement around those that’s a big, big business that big, big high margins and big new name generating categories and as a category we have not played in much at all. But I think that as we roll them out particularly going into our third quarter and fourth quarter you are certainly going to see more of them and you are going to see more of the once that we’ve already launched in the past six weeks. This brands with fans notion that we have adopted from the beginning is really paying off because even on the Deadliest Catch side of things it’s already keep coming back to that, but it’s not since going back to think that haven’t worked you might go back to things that have worked that’s working. That’s a television show on April 12 goes into its 12 season. I rest assure the people who produced the Deadliest Catch are loving this, because not only are we selling a lot of product with the Deadliest Catch name on it. We are also now beginning to connect with people like Discovery channel and others in really robust ways where the opportunity to sell commerce potentially in those arenas and mind you they would love it, because incremental revenue is something that all the cable networks are after in a big way this becomes are very real thing, it’s not necessary just a promotion or publicity campaign for the Deadliest Catch. These are real dollars and this is real money and really, really good product that we are selling. So I think that connectivity to those other ways of commerce beyond just our digital platforms including television which we refer to and think of as a digital platform and that connectivity to those other networks that it is right for opportunity right now, because they are very much looking for those kinds of connection. So all of those things as we look forward into the kinds of brands that we want to launch, there is also the home cleaning business, right and home organization, they are not necessarily going to be big noisy brands, but they are going to be fillers that help provide this broader assortment that we talked about. So when we look at a 168 hours a week of our programming we have more breath and depth, not just in big name personalities, but in all the different categories, some that are going to be known and some that are not going to be know, but this entertainment piece of it and this digital interaction piece of it you are going to hear a lot about from us in the coming year, because I think there are some really clever ways because of our size Mark and because of our scrappy approach in a very sort of startup kind of mentality, particularly from the digital side of things. We can do a lot of things where we think some of the others cant, because the bar is lower for us and when you have a low bar, you can take more chances and we are cautious about them, we sort of know in this process where we are, we know where we were, we know very much where we’ve come and so none of this is done in any kind of knee jerking sort of way, we don’t wanted to be in a knee jerking way, because knee jerks cause hockey stick growth to have the hockey pucks smack in the face, and so we’re doing this in a very cautiously optimistic kind of way, but can see, I think ideally you can hear in enthusiasm what we are doing is a very real thing and the path forward is all good for us.
Mark N. Argento: Great last question and I appreciate you breaking out what consumer electronics was in the quarter versus the year-ago period, it looks like by some back nimble match roughly almost $16 million worth of consumer electronics revenue that you didn’t have this quarter that was in the year-ago period. What were you guys able to replace that with, obviously the fashion and accessories business made up a good chunk of that. Was there any kind of brands that you could point to or any of the brands you could point to that were able to help you guys really offset that delta and I'm assuming that consumers electronics at $16 million was a lot of tablet revenue, is that accurate from last year?
Mark C. Bozek: Yes, Mark, in fact that was the primary driver of the consumer electronics business a year ago was a pretty small portfolio of tablet devices. So the distribution the offsetting influences where as you mentioned the fashion business and the beauty categories actually did well for us also within the period. Our watch business even with a reduced emphasis of airtime had a nice increase in productivity and of course that’s a variable repay attention to the extent that even if watches are getting a little bit less airtime to the extent that airtime is more special and focused and well promoted you know we hope to continue to drive productivity within that classification. And we had a lot of emphasis as well in the home area not so much from proprietary brands however and so seasonally we had a strong emphasis on tabletop the Linen business tends to be strong for us within the fourth quarter of the year. Deadliest Catch did occur in the fourth quarter but continuing into this current year. So not a lot of proprietary brand emphasis in Q1 there were several Deadliest Catch we mentioned…
Mark C. Bozek: But even though I mean if you look at some of our existing brands like Madi Claire is a proprietary brand, Skinn Cosmetics is essentially a proprietary brand those are brands that have been here for a while and they’ve shown real strength in the fourth quarter look if you think there is anybody in our world want to be in the position in the fourth quarter where one product makes or breaks that quarter again definitely, definitely not, particularly in consumer electronics is the most challenging area to be. And then as we all know from this word you can push your top line really, really hard then you take a real hit on the margin in the process, but Mark you did the math if you take the consumer electronics number out there and you look at our growth without it and its double-digit number. And I think that’s a good sign its not so much just about the proprietary brands but these new proprietary brands are enabling just the beginning right they are enabling some of those brands like Skinn and Waterford to exhale a little bit. So that when they do come back on air they have a more robust ability to grow rather than now there they are again – there is some more watch shows again the more depth we have and you just not seeing them as often as normal and when you do that I think you are able to take the proprietary brands that are existing for us there is still 25% of them so we still have them its not like we have zero. It just enables more kind of robust growth going forward.
William J. McGrath: Hi, Mark I wanted to add a point to our discussion on the contribution margins flow through to EBITDA earlier and that is that as you are aware we have substantial net operating loss carry forwards. And so that flow through to EBITDA to net income is has a quite very, very modest tax rate that gets applied to it because of the $300 million in federal NOLs that carry forward.
Mark N. Argento: Great, $300 million that’s the number now, great.
William J. McGrath: Yes.
Mark N. Argento: Well, I think the CE number I mean if you guys, if you were able to back that out like you said that it would have been really, really strong growth. So I think it’s important that obviously I’m glad you guys brought that out for us because you can see the magnitude of it so. Congrats on a strong finish to the year and hopefully a strong 2015 as well. Thanks.
Mark C. Bozek: Thanks very much, Mark.
William J. McGrath: Thank you, Mark.
Operator: Your next question comes from the line of Mark Smith with Feltl. Please proceed.
Mark E. Smith: Good morning guys. First can you talk about gross profit margin opportunity as we continue to see sales mix shift between different categories or we see any pressure on that in the near-term on some new categories or is there an opportunity to really expand that?
Mark C. Bozek: I don’t think we look at it in terms of expanding the gross profit. I think the percentage of that we’re in right now and again it fluctuates only some what based on our opportunities that we are launching into these new categories in these new areas, but I don’t think that the effort will behind higher gross margins than what we traditionally been at that’s not really the goal. The goal is really on at the risk of being redundant on the breadth and the depth piece of it. I think as you look at mix particularly in home there are some areas there that have really high margin and there are some areas that don’t have as high margins. And so it’s just a matter of how we balance the mix particularly going into third and fourth quarter, it’s ingestible business is one that we are not in as an example is a really high gross margin business to be in and it’s also a repeat business that drives a lot of business without having to use your airtime to do it. But overall, I wouldn’t say that there is gross margin opportunities that we look to it, it’s more in the breadth and the depth and the quality of those brands that deliver across the spectrums, so that we are able to maintain the gross margin.
William J. McGrath: So the ebb and flow Mark is as you cited part of it’s mix and as our Mark indicated that, it’s going to be dynamic relative to the composition of the mix within a given quarter. For us the strong categories of merchandized margin tends to come in the classifications of fashion and beauty which are strong for us, jewelry also is a category that has above the average margins, home products are tend to be middle of the road although within those you can have categories like food and that separately ingestibles which tend to be very high margin classifications. And then consumer electronics tends to be the outlier at least in terms of initial margins that are relatively low. And the other thing that impacts margins as well as the influence of shipping and handing activity within the quarter. Fourth quarter tends to be historically a promotional period for us as with all retailers and so the activity there in terms of shipping and handling promotions tends to be higher. However, we are always mindful that it is a competitive environment and we look at that environments and decide how we respond accordingly.
Mark E. Smith: Okay. And then can you guys give us quick update on the distribution center where you are at now and then maybe if you can quantify or talk little bit more about long-term benefits from this investment?
William J. McGrath: Yes, certainly Mark, we’re roughly doubling the footprint of the distribution centers, so we have - it was about a 300,000 square foot additional facility we are expanding that to about 640,000 aggregate square feet. We’ve completed the full footprint in the building and we are in the process of racking out that facility and moving inventory which was previously stored outside of satellite locations under one roof. The remaining work will involve material handling and sortation systems that will occur through the second quarter basically. So the facility will be it’s up in running now again we are storing product and moving product out of there as well as the upgrades that will occur with the physical sortation systems, warehouse management system and material handling systems internally will be implemented probably by end of Q3. So we will start to see the benefits of that I believe in the fourth quarter and in terms of the benefits two tiers really of savings, one is the reduction in operating expenses it will be a much more efficient operations that we’ve today once we’ve simulated the benefits of the physical infrastructure as well as the Manhattan associates and telegrated material handling and warehouse management systems. And then the second component is a more efficient outbound freight operation to our customers will be in a better position to combine packages and to either address that in terms of the cost of the customer or the margin benefits that may occur to us in terms of reducing freight cost. Those benefits again we expect to see those begin to manifest in Q4.
Mark E. Smith: And then last question you guys talked a little bit about it, but just any other inside on G&A outlook for this year and if you can talk about share based compensation and what you are going to planning on for this year?
William J. McGrath: Sure, G&A Mark I think an aggregate it will be a little bit higher than the range of guidance that I described and I say G&A meaning the G&A line of the P&L and that’s because we have certain service cost and costs that are associated with our IT systems that are more fee based than some of the historical stuff we’ve done internally, and in share based compensation, I think will be comparable to next year about $3 million in aggregate and I would expect to see that ratable over the quarter, so roughly $750,000 to $800,000 per quarter.
Mark E. Smith: Excellent. Thank you.
Mark C. Bozek: Thank you Mark.
Operator: Next we have a follow-up coming from the line of Gregory McKinley with Dougherty. Please proceed.
Gregory J. McKinley: Yes. Thanks. Real quickly what do you anticipate CapEx to be and what is your total borrowing capacity and availability today and then lastly what do you mean when you say adjustable?
Mark C. Bozek: Oh I'm sorry that would be ingestible.
Gregory J. McKinley: Oh ingestible okay.
Mark C. Bozek: Yes that’s right.
Gregory J. McKinley: No like I couldn’t figure out what you were talking about.
Mark C. Bozek: Yes adjustable are actually the elastic waist band on my pants, so that’s a separate topic, but the CapEx for the year I anticipate within the range of $12 million to $15 million and that primarily IT related cost and the borrowing base - we think of the credit facility as two components, one is a $25 million or $15 million term loan that we are financing the Bowling Green distribution center with and we are also financing - we’re using $10 million of our revolver to finance Bowling Green. So aggregate financing for Bowling Green is $25 million of which $15 million is a term loan. The borrowing base capacity as we would talk about it then under an ABL would be the underlying assets in the borrowing capacity that supports the remainder which we will describe that it’s a $75 million revolving facility even though $10 million is used for Bowling Green. And the borrowing base comfortably exceeds the $75 million, so that $75 million which is the assets that collateralize that or support that under the ABL, our inventory and our accounts receivable and there is advance rates and other variables that net that down, but the net borrowing base is well in excess of the $75 million capacity of the revolving credit facility.
Gregory J. McKinley: Okay so in aggregate $100 million total?
Mark C. Bozek: No I'm sorry in aggregate it is $75 million under revolver plus $15 million on the term loans. So $90 million total.
Gregory J. McKinley: Okay. Thank you.
William J. McGrath: You’re welcome. End of Q&A
Operator: There are no further questions in queue. I’ll now turn the call back over to Mark Bozek, CEO for closing remarks.
Mark C. Bozek: Okay, thank you very much. I would like to thank everybody for being a part of this call. I just in closing wanted to say that I think the enthusiasm that you hear cautious and carefully charted is very real and it something that we are as a company very excited about it’s a very fluid discussion to have right now people pick up the phone and return our calls they want to business with us that’s very exciting for us. I think there are efforts carefully charted over this next year or going to begin to pay off in very robust kinds of ways. I think the notion of being all things digital is something that we are excited about. In fact I don’t know if anybody noticed. But we announced on our press release this morning that we broadcast via Meerkat a live stream that took South by Southwest by storm over the weekend in Austin and luckily it came back up this morning after Jimmy Fallon when he posted on Meerkat yesterday shut it down. So I am sure we didn’t have quite as many hits as Jimmy Fallon did yesterday. But nonetheless we were there and we were broadcasting on Meerkat I have no idea how it looked, but it is the notion of that without being flippant about it. It is those kinds of things and those kinds of conversation that give us a real enthusiasm in this sort of scrappy approach for us to be far more competitive than we’ve ever been. So we thank you for all your questions. Thank you for your support. We very much look forward to seeing all of you here on May 28. Thank you very much.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.